Octavio M. Alvidrez: Good morning, everyone. Thank you for joining us today. My name is Octavio Alvídrez, CEO of Fresnillo. And here with me in London, we have Mario Arreguin, our CFO; Tomas Iturriaga, our COO from the Central Operations; and Daniel Diezas, Chief Operating Officer of the Northern Region. Welcome to our half year results presentation. As always, I would like to point out to our disclaimer before I move quickly to see the agenda we have for the day. I will take you through the key highlights and address on what our key recent HSECR initiatives. Tomas and Daniel will then provide some of the operational updates on their respective regions. And also, they will let us know some of it, about the development projects they coordinate. Mario will provide a financial update and some more detail into the decision to agree a buyback of the Silverstream contract with Peñoles. And finally, I will then conclude and provide some comments on the outlook. We then look forward to a Q&A session. Investment proposition. You will be familiar with our investment case and I believe it remains compelling and consistent. But first, let me make a few introductory remarks about our results. I'm pleased with the performance of our operations. We have now delivered consistently for over 2 years after a period of challenge and dealt with a number of factors that have impacted our business before. I believe this shows how we have stabilized our operations and are now in a strong position to capitalize on further growth opportunities with the legacy operations all in a much better place. Further, we're also making progress on our development pipeline. Of course, these major projects take time and in spite of we derisk them and ensure we have a very detailed plan in place as well as strong relations with all local communities. I would make the point that we are very focused on costs, and you will see this is reflected in our numbers. This, in turn, has driven a truly outstanding financial performance with lower costs and solid production, well timed to benefit from higher prices of silver and gold mainly. Both gross profit and EBITDA have exceeded $1 billion in the period. I would also like to highlight the constructive dialogue we have been having the new administration in Mexico with the sector, in general, making positive steps forward. We achieved and we were able to obtain some of the permits that were very pressing in some of the current operations, specifically in Fresnillo with the permits of Fátima Norte being released some months ago. On the investment proposition. We are still the largest producer of silver in the world and Mexico's leading gold producer. We benefit from a large portfolio of high-quality assets with over 2.2 billion ounces of silver resources and 38.5 million ounces of gold resources. We have strong EBITDA margins, significantly improved versus the prior year, and low costs and remain very focused on running our operations efficiently. This approach has seen us generate significant free cash flow of over $1 billion, alongside very strong earnings per share, which has enabled us to reward our shareholders with strong returns in the form of dividends. A couple of words on the silver and gold market. We have all seen increased demand not just from the traditional markets. Drivers such as jewelry, but silver in particular is used in various industries including electronics, and very importantly, solar panels, which have very much made this demand grown in the last years. The other part also in gold metals is the supply constraint. I mean, we have not seen a large supply nor in silver nor in gold in the last 8 to 10 years. And in silver specifically, the market running a deficit for the last 5 years. In short, we are confident of the outlook for silver and gold metal prices being supported by these factors. HSECR. First, safety. Safety is the heart of everything we do. Overall, our safety performance has improved largely in part due to I Care, We Care campaign and philosophy, which is rolled out across our portfolio, and focused on installing a safety culture throughout the organization. The overall safety performance is trending in the right direction, as you can see. We are sad to report we have experienced 2 fatalities over the last few months, one an employee and a contractor worker. And this is a reminder that we need to do more and redo our efforts across all of our operations. On the environment, our work on improving our carbon emission performance is also ongoing as we work towards the decarbonization of our operations, improving water recycling rates and upgrading our mining fleets. We achieved 80% (sic) [ 86.6% ] renewable energy consumption in the period, a new record for the business. Let's remind that 75% remains our objective. And with this 87%, whenever we bring our projects -- or development projects on operations, we will go back to those 75% as an objective to renewable energy consumption. I was also pleased to open the Proaño water potabilization plant in the Zacatecas region in February to improve water supply in Fresnillo and complement what we've done as we have 3 sewage water treatment plants. But this will benefit approximately nearly 32,000 residents in the Fresnillo area with potable drinkable water. This project was a collaboration with the Zacatecas State Government and Minera Saucito, highlighting a public-private partnership to address water scarcity in the area. Our community relations efforts have really progressed. These initiatives are particularly important. We move forward on our new development projects where considerable, very positive work is being done with the local communities. In particular, I would highlight local health campaigns we have developed in conjunction with the UNAM, which is the National University in Mexico Foundation, and the continued success of our scholarship program. As I highlighted before, our relationship with our communities is central to our license to operate and we continue to make a huge contribution to our communities both in terms of investments, employment and the tax we pay. Finally, I should also add here, we are developing a constructive and positive relationship with the new administration on this well for the future and the development of our projects. Some of the operating highlights for the period. We have already disclosed silver and gold production were in line with guidance with very strong gold performance driven by Herradura and silver impacted mainly by the cessation of mining activities in San Julián Disseminated Ore Body and also the buyback of the Silverstream agreement from Peñoles. We remain very focused on costs and this is reflected in our operating margins. As you will see, those have increased from past periods. In today's announcement, we have also confirmed the decision to agree a buyback of the Silverstream contract with Peñoles. And Mario Arreguin, our CFO, will provide a detailed review of the strategic and financial rationale for this. But overall, we are confident it is the right outcome for our shareholders. Given the Silverstream buyback and the continued performance of Herradura, we are today making some adjustment to our full year guidance. Attributable silver production guidance for 2025 has been adjusted lower for the Silverstream buyback with no further Silverstream contribution from second half '25 onwards. However, on a silver equivalent ounces basis, there has been no change to the guidance because of the stronger production of gold in the case of Herradura. Some of the financial highlights. As I've said in my introduction, this is a very strong set of numbers where we have capitalized on higher metal prices, but also kept a strict control over costs, as you can see from our margin performance. As a result, both EBITDA and gross profit have exceeded $1 billion. We are generating significant cash, which also translates to another strong dividend in line with our policy of over $150 million. I will now turn to -- and hand over the microphone to Tomas and Daniel to provide some operating, and as I mentioned, some update on the development projects as well.
Tomas Iturriaga-Hidalgo: Thank you, Octavio, and good morning, everyone. Good to see you again here. Let's start with some comments on Fresnillo. So good results overall. We continue working in our operational discipline and geological controls, trying to improve the silver grade. And we have made some good progress there. Our grade is up 170 grams per tonne compared to 150 grams per tonne in the same period of last year. So that's a 12% increase on the grade. And we'll continue working towards that improvement, but we have been showing good progress. The challenge now at Fresnillo moved to the tonnes of the volume process, where we saw a substantial decrease compared to the same period -- or the Q1 this year. And mainly -- the main factor there is unstable access to one of the areas that we had in the sequence for this year, the San Rafael area. So we needed to take out completely out of the mine plan those tonnes, some 60,000 tonnes in that area alone with -- so that's the main impact, along with lower volumes from the current fill stopes and having to do with the geometry of the veins, narrower veins or shorter stopes or a combination of both. So we are starting already a new access to the San Rafael area and we will -- and we are doing different things to improve our cycle times where we can increase the volumes coming out of our current fill stopes. None of these measures will have an immediate impact, so we expect a similar second half of the year in terms of volumes. Maybe a bit better but not substantially better. However, for next year we should be okay with the -- back on sequence and we should have recovered that area in Fresnillo mine. The development is at good levels, and as you can see, we are putting the meters of development that we need in the mine. And the gold and silver grades in the guidance will be -- are confirmed, will be there as guided. Moving to Saucito. Good performance in terms of the tonnes processed, silver, lead and zinc grades. Gold is a bit lower, but it was expected based on the sequence and the zones of the mine that we have in the sequence for this year. So it's not a surprise. That's expected. And development is a bit below what we had in plans. Basically 2 conditions there impacting the development. One, the ground conditions in Saucito. We know the ground in Saucito, the ground quality is bad, is challenging. And that is combined with a low availability of bolting and scaling equipment. That's what has impacted our development. We have added more equipment, bulkers and scalers of our own and with the contractors. So we expect to get back on track with the development for the second half of the year. The Jarillas shaft sinking continues, progressing well. The sink in itself is complete, so we are now working on the installation of the infrastructure required for that to become operational, that being crusher, screening, pumping system and all that. And we are also preparing for the interconnection of the 2 sections of the shaft first quarter next year. Silver and gold grade guidance is confirmed for Saucito as well. At Juanicipio, all good in the performance of the operation. Tonnes, grades, everything is as expected. We see the silver grade down, but that was expected. We know as we mine down the silver grade is going to be lower, but still is within the plan and the expectations. So all good in Juanicipio. The conveyor well project is progressing relatively well with some delays in the manufacturing of the components. So the commissioning of the system is slipping a little bit to Q1, Q2 next year. We are still analyzing the final date for commissioning and how to improve that delay that we are facing. Tailings dam #2 construction is complete and the dam is fully operational. So we have now almost 9 years' worth of capacity of the tailings dam. And the gold and silver grade also for full year are within the guided range at Juanicipio. So then moving to the projects. The Orisyvo project, so good progress. During the first half of the year, we completed the prefeasibility A level study. So that's now fully completed. Also all the engineering required for permitting is complete. So we are working on the integration of the environmental impact assessment to be submitted for approval late this year. So that's a very good progress for Orisyvo. In the meantime -- and permitting being the critical part of the project. In the meantime, we will do a third-party review of the project, looking to derisk and optimize the economics and the design and the engineering of the project. So that's the progress there. And then in Guanajuato, the Guanajuato Sur project, which is our main focus in that area by now, very good progress also in terms of drilling campaign, 46,000 meters of drilling in the first half of the year. And we are expecting good results again in terms of the resource increase at the end of the year. So not only we're putting the meters on the drilling, but we are getting good results out of it. And the scoping level study is well advanced and expected to be completed by early Q4 this year. So all in all, good, stable quarter of operations in the district, the Central region, and good progress in the Orisyvo and Guanajuato projects. With that, I will pass it on to Daniel. Thank you.
Daniel Diezas: Good morning, everybody. On the results of the Northern Region, I'm happy to present what was a very solid first semester for this year. Starting with Herradura. In Herradura, as you can see, we had very strong performance in gold production. It's with a 39% increase in production year-on-year compared to the previous one. And in terms of cost, also a very positive development in terms of consolidating everything we've been working for, for some months already. The operational excellence program are delivering results above what we initially expected in terms of productivity and cost control. We finalized the first stage of optimization during this year and we have programmed a second stage on 2026. We made a decision to make a pause, consolidate what we're doing right now and start a new phase on the upcoming year. The long-term strategic assessment of what we have been describing as the Herradura District vision is progressing as expected. Very good developments on that end in terms of the potential for growth coming forward. We are evaluating all the different optimization alternatives that we have in the district, but we still aim to complete the first phase of this district view by the end of 2025. One of the components of this district view, that is the shorter-term Valles underground mine, it's progressing as expected. We are finalizing the detailed engineering as we speak. And the production plan, we still have in our schedule the plan to start operations by the first half of 2027. And we are confident that we are on a good track for that and that will add something between 60,000 and 100,000 additional ounces of gold production for Herradura District, which is very positive. Another one of the levers that we have for optimizing the Herradura operation, that is the test work for the sulphide treatment. Started with a slight delay this year. We expected to have results by the second quarter. However, right now, we already started with the test work program and we expect results before the end of the year. In terms of cost performance, as you can see, all-in sustaining cost below $1,400 and cash costs at $1,150-plus. It's very, very competitive. Results are above what we expected and we're confident that this is here to stay and consolidate Herradura as one of our cornerstone assets generating more than $400 million of free cash flow during the first semester, which is very, very positive for the company. In the case of Ciénega, we started with some issues this year. In particular, the message is these issues are specific to one sector of the mine in terms of processing and the metallurgy of that sector. That is going to remain during the rest of the year. A bit softer production, but that is not going to be a long-term issue. So the view of having Ciénega as a sustainable operation is still there with very good results in terms of exploration as well. Cost control measures and total expenditure and productivities are in line with our expectations. So what we see right now in terms of higher all-in and cash costs and lower production is something we are reversing during the second half of the year. And the vision remains. The vision remains. We're starting the production from the stopes in Victoria Complex. That is a new high- grade gold area that we discovered during this year. And that, we expect, is going to become a very positive 2026 for Ciénega in terms of production. So all in all, some issues particular to this year, but it doesn't change the view that we have on the operation and its sustainability in the medium to long term. And San Julián, another success story. The performance in both gold and silver production during the first half of the year exceeded both our internal targets, our budget and also the first half of the previous year even operating with just one plant, as we discussed before, which is very positive. The drivers for this were the plant optimization that we performed during 2024. Dilution management has been a focus during this year, and strict cost control allowed us to now confirm what was the challenge last year, that is having a sustainable operation in the long run operating with just one of the plants. You can see the results in terms of cost. It's pretty much in line with the cost of the previous year even when we don't have the DOB operating, below $17 per ounce of equivalent silver, which is very competitive. And that confirms the view that we have for San Julián in the long run. Good exploration results, good investment in terms of exploration to extend the mine life and significant cash flow and operating results. So all in all, good news. And to finalize in the area of our greenfield projects in the Northern Region. We have a summary of Rodeo and Tajitos, both very similar in terms of the challenges, relatively simple projects but low grade. So when we made a review of the status of the projects, we made a decision in both of them in terms of, one, derisking the projects before moving ahead; and second, focusing in extending the resource base and derisking mostly around metallurgy. Metallurgy is going to be the key in both of these projects. In the case of Rodeo, we started a drilling program this year. It's going very well, a slight delay at the beginning of the year to start. But right now, very good progress in the exploration results and getting the samples that we need for the metallurgical test work. We expect the campaign to finalize on Q4 this year then update the resource model, optimize the project, may have a revised PEA by Q2 2026. That is our time line right now. And after that, that's going to be the milestone for making the decisions moving forward. And in the case of Tajitos, similar. We are exploring not the main ore body. We have very good potential in a vein system for high- grade gold in the Tajitos area, which would be a complement for the project. And in parallel, we're working on metallurgy for derisking the main ore body. The test work is ongoing and we expect a revised PEA by Q1 2026. Handing over to Mario.
Mario Arreguin: So thank you very much. Good morning, everyone. Can you hear me? Excellent. Well, after nearly 8 months of discussions and very deep analysis and evaluation of several alternatives, we came to the conclusion that the best alternative for Fresnillo was to sell back to Peñoles the Silverstream agreement. And for that, let me just give you a bit of background, and I'll just go very quickly through this slide. Peñoles notified Fresnillo of operational and financial difficulties impacting silver production and the long-term viability of the mine, and Fresnillo subsequently reported a revaluation loss relating to the agreement of $182.3 million in its 2024 accounts, valuing the agreement back then at $258 million before taxes. More recently, though, Fresnillo received an updated reserve report from Peñoles for the Sabinas mine, certified independently by SRK Consulting, which showed a significant reduction in reserves, more than 50%. And I would say definitely this was the main, main reason behind the lower value of the mine, and hence, of the Silverstream. A revised mine plan and sequencing program were drawn up with the validation from SRK Consulting, which materially impacted future production and free cash flow projections. Fresnillo together with Peñoles determined the new value of the Sabinas mine to be between $47 million and $50 million. Fresnillo has agreed terms for Peñoles to buy back the Silverstream for $40 million. This creates a noncash $133 million loss after tax and net of the period's profit amortization in the first half of '25 income statement. The cash effect will be an inflow of $40 million in the second half of 2025. The independent directors of Fresnillo have received financial advice from Bank of America Securities in relation to the consideration payable by Peñoles to Fresnillo to buy back the Silverstream agreement. The independent directors believe the valuation offered by the buyback of the Silverstream agreement is fair and in the best interest of Fresnillo shareholders given the considerable challenges identified. And over the lifetime of the agreement, nearly 18 years since the IPO, Peñoles has paid Fresnillo approximately $882 million and Fresnillo has received approximately 52 million ounces of silver. So we'll be happy to answer any questions or doubts that you might have regarding this buyback during the Q&A. For the time being, if you don't mind, I would like to move on to the financial statements. Okay. This slide here shows basically the income statement for the first half, and we compare that to the first half of 2024. And as you can see from all the lines outlined in yellow, which showed the different profit levels, it was a very, very good financial result. In terms of gross profit, we are 160% above last year. In terms of operating profit, we're 266% above last year. And in terms of profit for the period, almost 300% above considering the hit from the Silverstream agreement. And in terms of EBITDA, we basically doubled last year's number. So going back to gross profit. As you can see, compared to last year, we were $630 million above. And if you move up that same column, you will see that there were basically 2 main reasons. One was the fact that we had a very important increase in revenues, $420 million. And that combined with a lower cost of production, nearly $170 million or 20% lower, the combination of those 2 were basically the 2 main reasons behind the increase in gross profit. But one of the questions will be, how much of that adjusted -- increase in adjusted revenue was due to prices and how much of that was due to volume? So for that, we have to share with you on the following page, on Page 25. And as you can see clearly, basically, the main reason or the only reason for the increase in the adjusted revenue line was the increase in price of both gold and silver. In the case of gold, we saw a 42% increase in the price of gold, coming from $2,235 per ounce to $3,169. And in the case of silver, we saw a 25% increase, increasing from $27 to $33.80 per ounce. And as you can see, there was a very favorable effect, in the case of gold, $262 million; in the case of silver, $175 million. With regards to volume, you can clearly see that the negative effect which was expected in terms of silver production, which was 11% lower than last year. As a matter of fact, we were pretty much in line with budget. So that decrease was expected. That had a negative impact of $121 million. Whereas in the case of gold, where we had an increase of 15.6% compared to last year and we were quite above what we had originally budgeted, almost 22% of our budget, that had a positive effect of $117 million, which pretty much offset the negative impact of the lower silver. If we can go back to the income statement, please. So the other important factor was the reduction in adjusted production cost. So for that, I would like to use the, what we call, a rainbow, which is on Page 26. Again, on the right-hand side, you can see the green bar, which represents the reduction of $170 million. And by far, the most important reason was, of course, the devaluation of the Mexican peso during the first half of the year. And here, we're talking about the average exchange rate which, for the first half of 2025, was nearly MXN 20 per dollar, MXN 19.98 to be exact, which compared to MXN 17.10 per dollar, which was the average exchange rate for the first half in '24. Actually MXN 17,10 was the lowest we've seen in the last 5 years. So that resulted in a devaluation of almost 17%, which had a positive impact, as you can see here, of almost $86 million or 50% of the total reduction in adjusted production cost. If you look at column #1, there we talk about cost inflation, cost inflation being the increase -- or the average increase in the unit price of our main [ intake ]. I'm happy to report that we see inflation pretty much under control now. It was only 2.3% excluding the effect of the exchange rate and that had a negative impact of $15 million. On the operating side, of course, if you look at column #4, as you know, we had the closing of San the Julián Disseminated Ore Body mine. So we're no longer incurring those costs and that implied a $24 million reduction. And also on column #5, we had increases and decreases of production in several of our mines, but the net result was a decrease in terms of volume process at some of our mines. And that had an impact of $31 million in reduction of our costs. Of course, column #4 and 5 will translate into lower income when we look at the gross profit graphs, which I will show you in just a minute. And I guess the main message here from this graph, at least from the operational point of view, is outlined in bar #3, where you see the result of the cost reduction efforts and efficiency programs that we have put in place, which resulted in a benefit of $23.3 million. So to summarize the main reasons behind the increase in the gross profit, and if we can move please to the gross profit rainbow. Again, on the right-hand side, you can see the $630 million increase represented by that green bar. And clearly, the most important factor again were the prices. You can see that effect on column #1. Higher silver and gold prices represented almost 70% of the total increase in gross profit. On the operating side and on the positive side, we saw the higher ore grades and higher recoveries, which had a positive impact of $107 million. And if you look at the adverse side, you will see on the operating side on column #10 the fact that we closed down San Julián DOB represented $41 million lesser profit. And if you look at the variation in the change of inventories, which is pretty much an accounting phenomena that occurred between one semester and the other, that had a negative impact of $49 million. And we already spoke about the effect of the exchange rate, which was positive, that's column #3. We also saw lower depreciation, $62 million. That's basically related to the closing of the San Julián DOB mine. And we already spoke about the efficiencies, which had a positive effect of $23 million. Fortunately, we've seen lower treatment and refining charges in the last 2 or 3 years and that had also a positive effect of $25 million. So overall, I think that gives you a clear idea of what was behind the variation in gross profit. If we move back to the income statement very briefly. If you look at the operating profit, again, it was $625.6 million above last year. Mainly all of that came from the increase in gross profit that I just explained to you. But if you look at the finance income or expense, in this case, line, in 2025, we are recognizing a loss of almost $180 million. That's basically due to the Silverstream effect. If you look at the income tax expense, you will see that the we only had an effective tax rate of 18.5% compared to the statutory tax rate of 30%, much lower, and that was due precisely to the exchange rate and the impact that, that has on the valuation of assets, which are valued and accounted for on tax terms in pesos. So the spot exchange rate at the end of December was MXN 20.3 per dollar, and at the end of June, MXN 18.9 per dollar. So that was the main reason behind the lower effective tax rate. And I think we can move on to the cash flow. Okay. If you look at the first column, bottom line, you will see that we closed the year with a cash and cash equivalents of almost $1.8 billion. And if you look at our financial statements, you will see that there's a little difference between what we've shown you here and the $1.55 billion that actually are shown in the financial statements. And the difference of $270 million is basically that we had those $277 million in bank and deposits, which matured 3 months after the closing of June. For me at least, that's pretty much cash. And I thought that a better number to show you was the $1.8 billion, although I have to admit that if you are very strict and consider time deposits in AAA banks with maturities of around 3 to 4 months as not being cash, then it would be $1.5 billion.
Octavio M. Alvidrez: In terms of dollars.
Mario Arreguin: In dollars. Everything that we have is basically -- we do have a small balance in pesos to cover certain expenses, but we rather keep our cash in dollars. The main generator of cash, of course, was the cash generated by operations, which is the very first line, the top $1.1 billion, which nearly doubled what we generated last year. Also working capital, there was a reduction in working capital. So that generated at $191 million of cash. Another source of cash was, of course, the shares that we used to own from MAG. As you know, MAG was acquired by Pan American. We had approximately 9.2% of the total outstanding MAG shares and we thought it would be a very good opportunity to sell a large volume when that was announced. By the end of June, we had sold approximately 80% of the total holdings that we have. As we speak, we have sold 100%. We don't own any more MAG shares. That was an interesting source of cash, $150 million for the first half of the year. And in terms of uses, of course, one of the main uses, as you can see there, was this dividend paid in May, $500 million. Income tax, if you look at that, that was $255 million. That was mainly provisional tax payments. Remember, in Mexico, we pay provisional tax on a monthly basis based on the revenue and we simply apply a factor on that. And in March of the following year, you settle those provisional payments versus your income tax return. And if you have a favorable difference, then you get money back. If not, you have to pay. So, so far, we've paid $124 million in provisional taxes. We paid $63 million in mining rights and we paid $12 million in profit sharing, which are the 3 most important elements of that line. In terms of CapEx, we have invested around $158 million during the first semester. And I think those are the most important items in the cash flow. I think I'm done. So happy to answer any questions that you might have.
Octavio M. Alvidrez: In the Q&A session.
Mario Arreguin: In the Q&A session, obviously.
Octavio M. Alvidrez: Very quickly, I mean -- thank you, Mario, by the way. So looking ahead for the rest of the year and we mentioned that we have adjusted very slightly the guidance for the year in terms of silver according to the -- what we were expecting to receive in the second half of the Silverstream, which is not longer on the Fresnillo side and also in '26 and '27. In '25, we -- as we mentioned, I mean, we have higher our guidance for gold in such a way that silver low or go up, I mean, on equivalent silver ounces remains very much the same. The rest of the expected production of '26, '27 for gold and also lead and zinc, those remain the same. For CapEx, we are also rationalizing the CapEx for 2025. We do this exercise every year, see if we can lower the expected CapEx number for the year. Also in 2025, we are reflecting some delays in terms of lower development at Saucito mainly and also some of the Robbins ventilation raise boring in Saucito as well. Also some -- we are experiencing some delays, small delays, in the installation of the conveyor belt at Juanicipio. So part of that is reflected in a lower CapEx number in 2025, '26 and '27, as we had mentioned before. Just a quick look on the development projects, how they -- we believe we can bring those onstream. That is a challenge on the first 4 development projects. Of course, we continue to advance those, as described by Tomas and Daniel. But very focused on the brownfield projects, which are less of a challenge. We continue to advance on Valles underground, which is in the vicinity of -- or the underground portion of the Herradura District. That would give us ounces with no larger investments. So we are focusing on those. And further ahead, of course, in Herradura, we have potential at underground that we will continue to see and develop in the coming years. But very focused on this brownfield production at the Herradura area. So all in all, and just to conclude. I mean, safety, I've mentioned. We need to redouble our efforts across all of our operations. The trends are becoming positive, but I mean we still work and see our operation free of fatality is something that the whole organization is very focused to achieve. Outstanding first half performance, demonstrating the operational success. And this, coupled with higher metal prices, of course, we've seen the kind of free cash flow that our operations are -- our sizable production brings. Focus on cost and productivity. So those quality ounces, we will continue to make every effort not only to control but also to decrease costs across all of our operations. A strong return for our shareholders through increased dividends, and advancing our exploration and continued investment to progress our pipeline. And with that, I mean, we can turn into Q&A.
Octavio M. Alvidrez: Jason?
Jason Robert Fairclough: Congrats on the great results.
Octavio M. Alvidrez: Thank you, Jason.
Jason Robert Fairclough: A couple of quick ones. The projects, you seem to have a lot of projects that are coming to a head in 2026 and 2027. How are you thinking about the ability to fund those? But then beyond that, do you feel like the organization has enough bandwidth technically to execute this many projects?
Octavio M. Alvidrez: Do you want to mention something on the projects that you have and then I'll complement the answer.
Tomas Iturriaga-Hidalgo: Yes. I think we have -- technically, if we complement what we have in-house with qualified to do our projects, so for instance, in Guanajuato Sur, we have retained SRK to do the project complementing with our own technical team. Orisyvo, we have involved 2 firms there. So -- and then what we do mainly is use our technical team to do the reviews -- internal reviews to that. But I feel we're well equipped in that setting for those 2 projects. You want to add to that?
Daniel Diezas: No, no. I share the same. I think our pipeline, it's moving forward, and at some point, we will require to strengthen our organization. But that's coming in a few years. What we need right now, I think we have solid resources. And with a good backup of consulting companies, we'll be able to deliver.
Octavio M. Alvidrez: Yes. And we mentioned before that we are strengthening our organization. We put in place a Vice President of Technical -- Technical Vice President with a team on its own. We are better exchanging the process of planning with this Technical Vice President and its team, working along in a better level with the operational teams in place for the brownfield project that is the one that is coming first in Herradura. I mean, also we named an additional person in charge of the operations and also developing the brownfield project at Valles and further definitions in terms of plans to ready much, of course, what we need in the projects in order to develop efficiently.
Jason Robert Fairclough: Just a follow-up, if I could. So the dividend, I mean, obviously very, very strong cash flow. I had a couple of investors sort of commenting that it seemed like the dividend was a little bit light, like it could have been maybe a little higher. And some people wondered if you were building a war chest to do some inorganic growth. How do you think about that?
Octavio M. Alvidrez: Of course, we saw this cash generation because of what we mentioned, I mean, widening our margins, focusing on cost, enjoying high metal prices. You see the effect of really a sizable production there. The dividend that we declared in this period goes along the lines of our normal dividend policy, which in a yearly basis would be expected 50% of the net profit for the year. This is just the usual dividend policy. In terms of building it and the cash balance, I mean, this is what we have. As you mentioned, we have enough development projects ahead of us that will require substantial cash as well. I mean, Orisyvo with all of the challenges in the coming years, we are trying to optimize the CapEx number. As Tomas mentioned, I mean, we concluded the pre-feasibility A. That shows a CapEx number that probably is a bit on the higher side. Right now, we are trying to optimize that. But I mean, that will require substantial amount of cash. Rodeo and Tajitos, at a lower side of cash needs. Guanajuato, probably something -- a project that we are trying to bring at a better pace. And also because of the depth of the vein systems, I mean, will require quite a fair amount of mining works, development ramps, a shaft and everything, bringing the cash needs up for Guanajuato Sur. So I think we will continue to do the same, I mean, explore, finding new projects, develop and construct those projects. And those are a good use of cash.
Patrick Jones: Patrick Jones, JPMorgan. Just a question on -- a couple of questions on the Herradura side. Could you just comment a little bit more as to how you see sort of the long-term production profile there with incorporating the Valles underground? Should we be thinking about that as sort of a 500,000 tonne -- sorry, 500,000 ounce mine out to middle of the next decade? And just on the CapEx side of that, can you give a bit of color as to how much that is specifically and what -- if that's within the '26-'27 guidance as well.
Daniel Diezas: We're trying to be cautious about providing a forecast given that we are in the middle of the optimization process. Our first goal, I would say, it's to at least sustain the levels of production that we have right now because the natural trend of the open pit is decreasing in time. With all the projects that we have in there, our initial goal is to sustain levels similar to what we have right now in the long run, 10, 15 years from now. However, we know we have the potential to go to levels like you mentioned. But again, we want to be cautious about forecasting until we finish all the engineering that we're doing.
Daniel Edward Major: Dan Major from UBS. First question, just on the financials, you had a good cash flow performance this period. Just like quite a lot of your peers in the sector, you're booking a build in tax payables. Can you provide us any guidance if prices stayed at this level kind of how much you would continue to accrue in the second half and then what the catch-up payment would be in the first half of 2025 as a result of the lift in profitability?
Mario Arreguin: Yes. We've done our 6x6, that's what we call it, forecast for the year-end, and we're expecting to close somewhere around $2.3 billion in our cash balance after considering taxes, everything. So that will put us in a very, very strong position, I believe.
Daniel Edward Major: Sorry. Maybe to ask it slightly different. How much tax would you owe in 2027 with respect to 2026 in terms of accrual of tax payables? I think you built $100 million this half in payables. And that will continue to build, I would guess, if prices stay high and then you -- is that the right way of thinking about it or not?
Mario Arreguin: Well, as I was explaining, we are paying what we call provisional tax payments on a monthly basis. And I believe that by year-end, we will be very close to the actual number that we get in March of the next year when we do our tax return calculations. So we might even end up having paid more provisional tax payments on a monthly basis than what we actually will accrue when we do our detailed calculations in March.
Daniel Edward Major: Okay. That's clear. And then just a question on the -- follow-up question on the projects. I mean, your Slide 35 has been in the deck for a long time and the projects have looked quite similar and they keep moving further to the right. It feels you're putting a little bit more detail on the time lines to PEAs in 2026 and the underground expected in Herradura. Have you got more confidence in the pipeline now than you have in the last couple of years? And then just to follow up on Patrick's question, just to be clear, your guidance in gold for 2027, does that include the contribution from the underground at Herradura?
Octavio M. Alvidrez: Yes. I mean, we continue to be positive on the development for development projects. However, challenges remain. As I mentioned, I mean, we see this administration being more positive on mining and trying to help and support if we need something in order to develop these projects. However, some challenges remain. Rodeo still, as Daniel mentioned, we need to finalize our exploration, consolidate the resources there and then do the feasibility -- prefeasibility and feasibility. Orisyvo, as I mentioned, is a project that goes from prefeasibility A to prefeasibility B. However, the size of the infrastructure we need to put in place to access this project, the indigenous consultation and everything is a big challenge there. Right now, we are optimizing or rationalizing that CapEx number that was out of the prefeasibility A process. That keeps Tajitos also some challenges. We need to change in case we grow those resources positively with exploration. We need to change some of the infrastructure that we have there, talking about roads, a state road that is going through the project. And Guanajuato is the one that we are trying to speed up. But also, as I mentioned, the challenge there is to access the veins at the level in which we have the economic realization for Guanajuato. So yes, you're right. It seems like the development pipeline is still not moving to the pace that we would like. And that's why also the focus is on the brownfield projects. And Valles is the one that we have at site and some portion of Valles production is reflected in 2027. Yes.
Daniel Diezas: To clarify, it's not a full year of production. It's our current schedule, it's going to be around 50% of a full year production what we have on Valles for that year.
Daniel Edward Major: And I'm assuming the CapEx is also reflected in 2026, 2027 even if you haven't defined it exactly.
Daniel Diezas: Yes. That's it.
Amos Charles Fletcher: It's Amos Fletcher from Barclays. So I had a couple of questions on the financial side. Big working capital release in H1. Can you give us any guidance for what that might be in H2? And then can I ask on the CapEx side, how much of your CapEx is denominated in Mexican peso versus U.S. dollar?
Mario Arreguin: Okay. In terms of working capital, for the second half, most of the increase in working capital that I just showed you was due to a reduction in accounts receivables from Peñoles. So I don't think that will repeat itself in the second half. So I believe it would be pretty even during the second half. We won't see a reduction, I don't think, or any increase either. In terms of CapEx, that was your second question?
Amos Charles Fletcher: How much is in the U.S...
Mario Arreguin: CapEx. In terms of CapEx, I would say all the part that is related to development, which is basically contractors in Mexico, I would say approximately 40% of that is in pesos. And the other 60% is dollars, talking about contractors which actually do most of the development. And in terms of actual equipment, pretty much everything is imported. So pretty much dollars, some euros.
Amos Charles Fletcher: And then I just wanted to ask on your guidance on unit cost inflation ex FX for the second half year-over-year or half-on-half, whichever is easier for you.
Mario Arreguin: In the second half, we don't see any major pressures in terms of increases in the unit price of our [ intakes ]. So I would say it would be along the lines of what we just saw in the first half for the whole year, something between 2% and 3%. And the last?
Amos Charles Fletcher: Okay. Sorry, I'm going to keep going. A couple of other ones, just on the buyout of the Silverstream contract. $40 million seems a little bit low when you consider you received $34 million in H1. Was the mine life just -- were they just going to shut the mine essentially? Is that why that payment was so low?
Mario Arreguin: That was basically the alternative.
Amos Charles Fletcher: Yes. And then is it subject to a Class 1 vote? Or is it not material enough?
Mario Arreguin: It's not material enough.
Richard James Hatch: Richard Hatch from Berenberg. A couple of clarification points. So just on the costs. So you did $674 million of adjusted production costs in the first half. So should we, therefore -- I guess, peso strengthened a little bit, I think. So should we -- how should we be thinking about that gain in the second half? Like a little bit higher but still pretty well controlled? That's the first one.
Mario Arreguin: I would say that, that is the case. And like I said, we had a very favorable exchange, average exchange rate effect in the first half. Again, in the second half, we had almost MXN 20 per dollar versus MXN 17.10 in the first half of '24 -- second half. The second half of '24, the exchange rate was MXN 19.50 in the second half of '24. Currently, the exchange rate is around MXN 18.8, MXN 18.9. So if it remains where it is, it would actually be a small revaluation, very small revaluation in the second half, which would take away 1/3 of the benefit that we had in the first semester. So in other words, we're not expecting to have that benefit in the second half.
Richard James Hatch: Clear. It sounds, Octavio, that you're not going to push for some top-of-the-cycle M&A, which sounds good to me. I think the market probably likes that, too. Takes my heart rate down. But the H2 '24 dividend was something that surprised the market very positively. You paid a lot of cash back to your shareholders. So should we expect, if prices stay about the same, I appreciate you've got an attractive profile of CapEx projects, but should shareholder returns be expected to still be quite elevated going into the end of 2025?
Octavio M. Alvidrez: You're absolutely right. I mean, we've seen the kind of deals in terms of M&A that have gone out in the market. And we are very disciplined about looking at that part. And as we mentioned before, our main objective and one that we invest across the cycles, I would say, is exploration where we have the development pipeline with the challenges that we mentioned. We would like to see those projects coming onstream earlier. But also, we're disciplined in the way we bring them into operations. We like to have operations with the quality of the current assets. So that's a part on the terms of an M&A. In the meantime, yes, we will continue to see that cash build up going on that north direction. After -- and the exercise we do at year- end and that we as a management team propose to the Board after looking at all what we had in front of all of us is our mines, of course, demand a fair amount of investment, most of them on the vein systems. We need to do a lot of development, a lot of raise boring, ventilation and everything. Approximately 120 kilometers per year of development, that's a large investment. Renew the fleet that we have across all of our mines, all the needs in terms of exploration, brownfield and greenfield and also to maintain the resources and reserves at our mines. And then the usual dividend policy returns for shareholders. And after we consider all of those needs, yes, it's something that we can consider as well. Some special dividends, as we mentioned before.
Richard James Hatch: Okay. Helpful. Last one is just on Herradura costs. Just generally operational performance was good, so congrats to both the CMOs. But just on Herradura costs, $1,371 all-in sustaining cost, Daniel, you're comfortable where you can keep that level, please?
Daniel Diezas: That level has been extraordinary in the first semester. We think it's going to go slightly up. But we are confident in trying to keep it below $1,500 levels. That is what we are trying to achieve as a long-term position in terms of cost.
Unidentified Analyst: Just a couple of follow-up questions. One on cost, how are you thinking about your cost for 2026? Do you see potential for more improvements?
Mario Arreguin: Improvements as in cost reduction and efficiencies? Well, I would leave that to my colleagues.
Octavio M. Alvidrez: We still see some room. Let's go back to when we talked about the labor reform and the need at that time to internalize a lot of the contractors head count that we having each one of the operations. We are still working towards reaching a more efficient level. And I think that's going across all of our operations. So I think there's still room to improve in that front. Also, what we've seen in the market is that in previous periods, as we saw metal prices going up very rapidly, we're seeing also inflation going up from the mining sector. This is not the case in this year, at least, half of last year. And therefore, we believe that will continue to be the case. We have not seen also the impact of tariffs as well. And I think the market has very much absorbed that first effect. So we are hopeful that we will see inflation in general terms being contained. And then the work across all of our operations will continue to bear some fruits in terms of containing the cost and hopefully lowering the cost with the previous year.
Daniel Edward Major: Dan from UBS. A couple of follow-ups. So just -- to clarify on the cash return, you previously spoke to wanting to and targeting $1 billion of cash balance before you potentially distribute special dividends. You're talking $2.6 billion at the end of the year. Should we therefore assume $1.6 billion of distributions in the base case in the second half?
Mario Arreguin: Well, I'm not sure about that. And I said $2.3 billion by year-end.
Daniel Edward Major: Sorry, $2.3 billion.
Mario Arreguin: But you're right. When -- in previous years, that's pretty much the criteria that we follow. At the end of the day, it will be a Board decision. But definitely it's on the table, being considered.
Octavio M. Alvidrez: And in previous periods, we used to have only Juanicipio as a development project to be developed. We -- the kind of investment that we were seeing at those times were in the region of $400 million, $400-plus million. The projects that we see now in the pipeline are larger in CapEx, at least Orisyvo, in the coming years. So that will be one aspect to have in the radar. And then Guanajuato Sur as well. So we have 2 in the following 3 to 4 years. And Rodeo and Tajitos, although lower CapEx numbers.
Amos Charles Fletcher: I just had one follow-up, I guess, on -- related to that. Could you just run through where the indicative CapEx numbers sit for each of the growth projects on Slide 35?
Octavio M. Alvidrez: We need to look at this graph. I mean, as we mentioned, Rodeo exploration, a rough number that we have for exploration this year is approximately $10 million in Rodeo.
Daniel Diezas: In Rodeo? In Rodeo, we're spending $8.3 million.
Octavio M. Alvidrez: $8.3 million. And then we will have enough resources hopefully to run prefeasibility and feasibility. Previous estimation for that project was in the region of $300 million or so.
Daniel Diezas: Previous estimation, however, we think it's more likely to be on the $450 million.
Octavio M. Alvidrez: Updated that. Orisyvo was in the region of $1 billion from '24, yes, $1 billion and we are optimizing that one. So Tajitos, lower number than Rodeo. And Guanajuato, north of $500 million or so. That's raw numbers. And of course, we will be -- we would continue defining those CapEx in coming years. And then coupling that information with the graph, I mean, right now, exploration, all of them, except for Orisyvo. And as we advance through prefeasibility, feasibility A, B, et cetera, I mean, you will see the CapEx numbers being defined for the upcoming years accordingly.
Unidentified Analyst: Can you give us the same numbers for the brownfield projects, for Valles and the Herradura underground?
Octavio M. Alvidrez: Yes. Valles?
Daniel Diezas: In Valles, what we are finalizing right now in terms of details, it's to understand how much is the recovery CapEx for pumping stations, energy, et cetera. We don't think it's going to be more than $60 million to $70 million in total to restart the operation at Valles. In the case of what we call the Herradura underground, that is the longer term. We don't have a view right now because it's deeper, it's more complex. We think it can be in the $200 million range, but that's to be seen.
Octavio M. Alvidrez: Peter, do we have something in the line? Okay. So with that, we conclude the presentation, and we thank you for attending.